Operator: Good day, and welcome to the PFG Fiscal Year Q4 2019 Earnings Conference Call. Today's call is scheduled to last about 1 hour, including remarks by PFG's management and the question-and-answer session.I would now like to turn the call over to Michael Neese, Vice President, Investor Relations for PFG. Please go ahead, sir.
Michael Neese: Thank you, Maria, and good morning, everyone. We're here this morning with George Holm, Performance Food Group's CEO; and Jim Hope, PFG's CFO.We issued a press release regarding our 2019 fiscal fourth quarter and full-year results this morning. The results discussed in this call will include GAAP and non-GAAP results adjusted for certain items. The reconciliation of these non-GAAP measures to the corresponding GAAP measures can be found at the back of the earnings release. You can find our earnings release in the Investor Relations section of our website at pfgc.com.Our remarks in the earnings release contain forward-looking statements and projections of future results. Please review the cautionary forward-looking statement section in today's earnings release and our SEC filings for various factors that could cause our actual results to differ materially from our forward-looking statements and projections. And finally, our fiscal 2020 outlook does not include the recently announced acquisition of Reinhart.Now I'd like to turn the call over to George.
George Holm: Thanks, Michael. Good morning, everyone, and thanks for joining our call today. I'd like to go over a few highlights from our fiscal 2019 full-year results. Jim will discuss our detailed fourth quarter financial results. And I will come back and discuss the strategic rationale that supports our recent acquisition announcement of Reinhart, and then we will take your questions.Let’s turn to our results. 2019 was a successful year for PFG and I'm pleased with our team's execution. Our strong topline growth combined with increased gross profit per case led to profitability at the high end of our expectations for the year.Our Core business segments delivered strong financial results led by Vistar’s double-digit EBITDA growth. Total cases were up 6% slightly exceeding our objective of 3% to 5% for the year, net sales increased 12.1% to $19.7 billion driven by Vistar, our independent case growth in Foodservice and the Eby-Brown acquisition.The increase in net sales also reflects an increase in selling price per case as a result of inflation and mix. For the year, we experienced inflation of approximately 1.5% especially in the center-of-the-plate items such as poultry and meat. Inflation did increase sequentially from Q3 to Q4 which help fuel our topline.Let's turn to our two segments. Vistar had a strong year exceeding our expectations with net sales and EBITDA up double-digits. We witnessed strong case sales growth in the segments, theater, vending, corrections and retail channels and as a result of recent acquisitions. The integration process is going well with Eby-Brown. We are very excited about the opportunities with this business over the next several years.Turning to our Foodservice segment. We are pleased with our sequential improvement and we expect this trend to continue into the first quarter of this year. We are pleased with our mid single-digit independent case growth for the year. This trend is continuing into the first quarter as well. This is against the backdrop of flat same-store sales growth for independent restaurants in the quarter.Average case prices were up low single-digit as we are still in a reasonable rate of inflation. We continue to believe the overall health of independent restaurants remains solid. The macro landscape is and has been a very competitive industry. However, we have been successful in growing share and profitability for the past several years. We believe our strategic growth investments are paying off and continue to be on track to support our long-term objectives. Both of our segments are showing solid case and EBITDA growth. In fact, the Foodservice segment grew its EBITDA by double-digit in the fourth quarter.Looking ahead to fiscal 2020, we believe our Core segments are positioned for another year of growth. Our two recently announced strategic acquisitions position us for continued future growth. We expect fiscal 2020 to be another year of solid earnings growth. Each quarter during these calls, we'd like to highlight one associate who goes above and beyond to serve our customers and colleagues.This quarter I'd like to shine the spotlight on 16 of our incredible associates being inducted into the 2019 class of the International Foodservice Distributors Association Truck Driver Hall of Fame. To be eligible for this honor, the driver must have at least 25 years of service with zero chargeable accidents and may not have any moving violations in the last five years.From our Performance Foodservice division, the inductees are Ronald Arnold, Dan Ashby, Ronald Burton, Ronnie Cheney, Scott Edwards, David Elliott, Robert Hagerman, Gene Harman, Richard Holloway, Billy Martin, Bradford Nooney and Robert White. From Vistar, we have Joe Frias and from our recently acquired Eby-Brown team, the inductees are Danial Curtis, Terry Osborne, and Wesley Raber.These associates hail from 10 different states and delivered to customers across the country from California to Maine. We are incredibly thankful for the careers these professional drivers have dedicated to our organization and their local teams.I will now turn the call over to Jim, who will discuss our fourth for the financial results.
James Hope: Thank you, George. Good morning, everyone. I'm pleased our fourth quarter results came in higher than we expected. Total case volume increased 9.2% for the fourth quarter with underlying organic growth of 2.9%. Total case volume included a 4.9% increase in independent cases.Growth in Performance Brand cases and broad-based growth across Vistar's sales channels including Eby-Brown, net sales for the fourth quarter grew 28.4% to $5.9 billion versus the prior year period. The acquisition of Eby-Brown contributed $949.7 million to net sales, including $149.7 million related to tobacco excise taxes.Excluding Eby-Brown, net sales increased 7.7%. The increase in net sales was primarily attributable to growth in Vistar, most notably in the vending, office coffee service and corrections channels. We also experienced solid case growth in food service, specifically in the independent restaurant channel. The increase in net sales was also attributable to an increase in selling price per case as a result of inflation and mix.Overall food cost inflation was approximately 2.3% in the fourth quarter. Gross profit for the quarter grew 14.4% compared to the prior year period is $700.1 million. Gross profit per case was solid as we benefited from selling an improved mix of customer channels, including the independent channel.The strong gross profit increase was also led by Vistar's channels. Gross profit per case was up $0.22 in the fourth quarter versus the prior-year period. Gross profit margin as a percentage of net sales was 11.9% for the fourth quarter, compared to 13.3% for the prior-year period. The gross margin decline was driven by Eby-Brown who historically experiences lower margins as a result of tobacco. Gross margins would have been up slightly excluding Eby-Brown.Operating expenses rose by 15.8% to $599.6 million in the fourth quarter. The increase in operating expenses was primarily due to the increase in case volume, personnel expense and the resulting impact on variable operational expenses. Operating expenses also increased in the quarter as a result of recent acquisitions including Eby-Brown. Excluding Eby-Brown, OpEx would have grown approximately 8%.Net income for the fourth quarter declined 1.9% year-over-year to $63.2 million. The decline was primarily a result of a $5.8 million increase in income tax expense. The increase in income tax expense was primarily a result of the prior impact of the Tax Cuts and Jobs Act.The effective tax rate in the fourth quarter was 23.9%, compared to 17.9% in the prior-year period. EBITDA increased 11.5% to $143.1 million in the fourth quarter compared to the prior year period. For the quarter, adjusted EBITDA rose 16% to $157 million compared to the prior-year period. Eby-Brown helped contribute to our fourth quarter adjusted EBITDA, but was not material to PFG.Diluted EPS declined 1.6% to $0.60 in the fourth quarter of fiscal 2019, compared to the prior year period. Adjusted diluted EPS increased 32.1% to $0.70 in the fourth quarter.And turning to cash flow, PFG generated $317.4 million in cash flow from operating activities during fiscal 2019, a decrease of $49.6 million versus the prior year. The decrease in cash flow from operating activities was largely driven by fourth quarter strategic investments in working capital to fund growth in Vistar and Eby-Brown and in the Foodservice segment.Our free cash flow came in at $178.3 million, down $48.6 million from the prior year. For fiscal 2019, PFG invested $139.1 million in capital expenditures, in line with capital spending versus prior year. Our spending came in under what we were expecting based on the timing of certain projects. And our net debt to adjusted EBITDA leverage came in at 2.8x which was consistent with last year.Turning to our fiscal 2020 outlook, we expect adjusted EBITDA growth to be in a range of 9% to 13% over our fiscal 2019 adjusted EBITDA $475.5 million. We believe that Eby-Brown acquisition will be slightly accretive to earnings this year. We are projecting Eby-Brown will contribute 200 to 300 basis points of adjusted EBITDA growth for the year.Fiscal 2020 organic adjusted EBITDA is projected to grow 7% to 10% and is consistent with our long-term outlook. We expect 2020 adjusted diluted EPS to grow in a range of 4% to 10% over fiscal 2019 adjusted diluted EPS of $1.85.Higher depreciation and amortization related to Vistar acquisitions, our interest expense interest expense due to the debt incurred to fund the Eby-Brown acquisition and a higher effective tax rate versus fiscal 2019 are reflected in our adjusted EPS growth outlook this year. This outlook is based on the following annual assumptions, which includes Eby-Brown and excludes Reinhart.Organic case growth in a range of 3% to 5% and case growth in a range of 6% to 8%, including Eby-Brown; Interest expense in the range of approximately $70 million to $75 million; An effective tax rate on operations of approximately 26%; and Capital expenditures between $180 million and $200 million, with depreciation and amortization between $175 million to $185 million.The fiscal 2020 capital expenditures estimate is higher than fiscal 2019 due to ongoing investment to drive growth, which includes Vistar’s Retail East automated facility, Eby-Brown expansions and the timing of certain projects. We recently broke ground on Vistar’s Retail East automated facility in Pennsylvania, although we're early in the process of constructing Vistar's second automated pick and pack facility we're excited about its future prospects and potential additional volume.In summary, our 2019 financial results were solid. We're pleased with the strong topline growth in our businesses and the sequential improvement in Foodservice’s EBITDA results. We believe the strategic investments we made over the course of the last two years are now paying dividends. Vistar continues to be a solid source of growth and we expect them to have another year of outstanding topline and EBITDA growth.And with that, I'm going to turn the call back to George.
George Holm: Thanks, Jim. Before we take your questions, I would like to share with you why we are excited about our acquisition announcement of Reinhart. After meeting with Investors and Analysts in New York to discuss the strategic rationale of the transaction, I traveled for three weeks and met with all of Reinhart's leadership in their 26 distribution centers.I'm even more impressed with their operations, customer portfolio and the culture of their organization. I believe the transaction will further enhance PFG strategic position in the Foodservice distribution industry. In case you missed our call last month, I would like to quickly provide you with the compelling, strategic and financial benefits of the deal.Reinhart is the second largest private food distributor in the U.S.; we believe they are the most attractive private regional Foodservice distributor. It expands our geographic reach and overall scale. Reinhart will enhance our PFG’s distribution platform and market density. We believe the transaction enhances our complimentary operating model, increases the combined companies’ depth of differentiated private label brand offerings centered around leading produce protein and logistics.We believe there will be significant synergy opportunities in procurement, operations and logistics. The transaction is expected to close by the end of the calendar year. And finally, the transaction has attracted valuation with compelling financial benefits. Excluding transaction related to depreciation and amortization. We continue to expect double-digit EPS accretion with anticipated tax benefits and full run rate synergies in year three.So to wrap up, we had a strong fiscal 2019. Our businesses are performing at or ahead of our expectations. I want to thank all of our associates for another year of tremendous growth. I welcome the Eby-Brown associates and look forward to growing that business.With that, we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Edward Kelly of Wells Fargo.
Edward Kelly: Hi guys. Good morning and nice quarter. George, I wanted to ask you just to start about the competitive environment. And I was hoping you could just provide some update on what you're seeing there. I mean, Cisco obviously mentioned earlier this week about some pockets of increased competition. I'm curious as to whether you're seeing any of that? Where you think it's coming from and why?
George Holm: Well, I think things have been very competitive for quite a while maybe forever in this business. I do feel in the independent areas that everyone is extremely focused on it. And I think when you get that level of focus, it does get very competitive. I just don't see it as highly different though from what it's been in the past.
Edward Kelly: Okay. That's helpful. And then I wanted to ask you generally about the consumer. I mean, you don't typically get this question, but there’s been, I guess in the marketplace overall just some growing concern about the consumer. I'm curious as to what you're hearing from the field, from your salesforce as they interact with your customers? Maybe just a pulse on their level of confidence.
George Holm: Well, I would always characterize our people as confident. I think that what is different, it's not as consistent. Typically if you're running maybe mid single-digit case growth, a really good week might be seven and a really bad week might be three. And we see wider swings than we've seen in the past. But it ends up kind of year-to-year to be pretty similar.One thing that is definite for us is within our independent base, we have had another quarter where our line items are growing faster than our cases are growing. So that does show me that we're continuing at least within our customer base to see some same-store sales struggles for the independent and we're continuing to see difficult times for large casual dining chains.
Edward Kelly: And just one last one for you, George on Eby-Brown. You had it in-house for a few months now. Can you provide maybe just a little bit more color on the capture of revenue synergies? How quickly you can leverage the C-Store relationships on the Foodservice side? I would assume that that's actually probably a relatively decent margin business. I mean, there hasn't been a lot of talk about that is an opportunity, but it seems like it would be accretive to your EBITDA growth in the coming years. And I'm just kind of curious as to how excited you are about that and how material that possibly could be?
George Holm: Well, we had nine weeks of shipments in last fiscal year, so not much of an impact last year. We feel that there will be – for Foodservice within the convenience area, there'll be some situations where we'll be delivering it with two trucks where they have enough Foodservice business where the Foodservice division will also deliver if the SKU base is beyond what we can put into an Eby-Brown facility.We are doing a little bit of cross-dock where we're at early stages, but where we're delivering out of Performance Foodservice and merging it into the Eby-Brown loads. And then we also plan to increase the number of SKUs handled at the Eby-Brown distribution centers. But we're in the very early stages of determining what those SKUs will be.
Edward Kelly: Great. Thanks guys.
George Holm: Thanks.
Operator: Our next question comes from the line of Chris Mandeville of Jefferies.
Christopher Mandeville: Hey, good morning. Jim, can I just start off with a point of clarification very quickly on Eby-Brown. The sales contribution in the quarter, the $950 million, was that actually gross sales, not net?
James Hope: Yes. That's gross. And you have to back out the tobacco excise tax number we gave.
Christopher Mandeville: Okay. Great. And then is there any additional color on how we should be thinking about EBITDA growth cadence this coming year as it stands, seeing how, obviously we don't have Reinhart in the numbers right now, but given some of the seasonality as you incorporate Eby-Brown in any other factors that we should be considering. And then just lastly, can you offer any additional color on what sort of expansion projects you have in mind for Eby as well?
George Holm: Yes. I'll go ahead and take that. As far as the EBITDA cadence, I think that we're always better to speaking in a year timeframe because we've been very consistent year-to-year less so quarter-to-quarter. I will say that we're off to a very strong start. And our first quarter is looking a lot like our fourth quarter, but once again, we're only a little less than halfway in.As far as seasonality goes, the summer is a good time for Eby-Brown, but that in the scheme of things, it's not real material to us. When we close with Reinhart, Reinhart is a different seasonality than we are. Their business is very heavy in the far north. So our fiscal third quarter, they are much weaker than, to say, Performance Foodservice, and when you get to the fiscal fourth quarter and the fiscal first quarter, they're a little bit stronger.
Christopher Mandeville: And then just anything on the projects for Eby-Brown in the coming year?
George Holm: We do plan on building a couple distribution centers and we'll be doing those really over the next about 18 months. I mean that – at this point is all planned for Eby-Brown is just those two.
Operator: Our next question comes from one of Andrew Wolf of Loop Capital Markets.
Andrew Wolf: Thanks. Good morning. With regard to the guidance for organic case growth, 3% to 5% for 2020, against the 3% in 2019. Could you discuss what parts of the sales mix are in plan to accelerate, if you get above the 3% and what would be driving that?
George Holm: Well, Vistar continues to grow well. I think it's going to be pretty broad-based. I mean, if you look at our Performance Foodservice business right now, all areas of our business are growing in that mid single-digit area. And we expect that to continue to – for pretty much the foreseeable future. Not sure with Eby at this point. I don't think we have enough experience in how their seasonality works. And obviously tobacco is a declining category. But I think that our growth will be pretty consistent across our portfolio of businesses.
Andrew Wolf: Got it, okay. Can you all, George, comment on kind of the productivity of the new sales people? Is that continuing to – is there a sort of maturation that's going to come into the numbers too or is that – or they've kind of reached – and they peaked in terms of their contribution rate to new sales?
George Holm: Yes. Well, we're going to continue to add people and I feel that will help us. Our average sales per salesperson has gone up significantly in the last 10 years. I mean, well over double. And we are seeing that as they get to a certain volume, it's difficult from a percentage standpoint for them to get the growth they've gotten in the past. And we're adjusting to that.We're trying to give them tools, where they have the time to still write more volume. Some of our people are in a position where they're willing to take a reduction in the amount of business they handle, so that they have time to go out and get some good quality business. And we just have to adjust Andy and that's what we're doing.
Andrew Wolf: Got it, thanks. And if I could just ask a quick questions, kind of follow up on the Eby-Brown, some of the questions. When you think about Foodservice products or programs in a C-store channel, does Vistar have already exactly transferable product types or does some have to be tweaked, some that exist be tweaked a bit for C-stores or just created because of – different types foods or bought – Foodservice are bought at C-stores and maybe at a hotel pantry or other things that Vistar currently supplies?
George Holm: Yes. Vistar doesn't stock, a very wide assortment of Foodservice products and most of the Foodservice type products that they're stocking are geared to the concessions area. So we have a lot of work to do there. In our Performance Foodservice, we have a much greater array of product and we're focusing our time right now on what’s stocked at Eby-Brown versus what's stocked at Performance Foodservice and doing our best to involve customers and make the right decisions around what items that we will stock at Eby and particularly around our branded products. So we're in the early stages, but we feel good with it. We have a heavy focus on pizza because we have a heavy focus on pizza as a company and we just think that's a great part of our future is Foodservice into the convenience environment.
Andrew Wolf: Got it. Thanks.
Operator: Our next question comes from the line of John Heinbockel of Guggenheim Securities.
John Heinbockel: So George, two related things maybe when you think about salespeople hiring for this coming year? Is that directionally same sort of growth as the past 12 months or would you like to accelerate that a little bit? And then secondly, when you think about penetration with existing accounts? Are there some good productive ways to kind of accelerate that rate of expansion, maybe against, some of your competitors who are secondary suppliers, right to these accounts? Can you do that absent price in some other way?
George Holm: Yes. We'll start as far as with the salespeople and the number, I would say that we are always in a position where we want to add sales people faster than we are. It is a job and I would say a profession where you have to be careful with the hires you make. It's a big investment.There's a significant amount of training and it's a difficult job. There's a lot of weekend work. There's a lot of things that you need to do in that job that not everybody wants to do. So I'd say for us the limiting factor for us to grow our sales force is just finding, real quality, competent people that can develop just a tremendous appreciation for that job. And you have to, because it's like I said, it's a very difficult job.As far as penetration most of our focus there is training with our salespeople and as a company, I think it's hard to impact independent customers, as a company it's really more as an individual and a lot of it is you're adding SKUs to an account because, they tend to be pretty sticky in this business. It's literally cutting that product and what you have against what the competitor has and having some differentiation in product. Otherwise it does come down to kind of a margin erosion exercise if you don't do that.
John Heinbockel: And then maybe secondly, if you look at drop size, right, for both Vistar and for PFG Foodservice. What sort of been the trend there? I assume it's growing? Is it growing faster than it was say a year-ago and I would guess you're getting leveraged or maybe you're not because of driver pay going up, getting leverage on that that process?
George Holm: Our drop size has continued to go up very consistently. It's one of the pleasing part of our business today. And if we got back as an industry to same-store sales growth, it would have a bigger impact than it's having today because it takes more line items to get those larger drop sizes. We have increased driver pays, so that reduces the impact of, of getting a bigger order. But today that larger order is a good bit of what's driving our business. So very important that we continue to do that, but it is really kind of belly to belly kind of business and getting those extra SKUs.
John Heinbockel: Okay. Thank you.
Operator: Our next question comes from the line of Judah Frommer of Credit Suisse.
Judah Frommer: Good morning, guys, thanks for taking the question. Just going back to competition within the Independent segment for a second, you guys do have a different definition from Cisco of Independent. And it sounds like there's been some more competition in kind of those small regional chains, I don't know, call it 5, 10, 20 store chains. Are you seeing any elevated pricing action there as opposed to the much smaller mom and pops or is it consistent across both of those segments?
George Holm: Well, reason was exactly how we classify them and we do that once they hit five units and we're actually doing a little better with that type of customer than we have been in the past. But it's always been our slowest growth area and I would classify it as a very competitive type of customer to get from the competitions. It's a very competitive part of our business.
Judah Frommer: Okay. That makes sense. Yes, go ahead.
George Holm: Yes. And our definition is just that once they hit the fifth unit, then we redefine them as a regional as opposed to an independent. And we've been real consistent around our definition for the last 11 years.
Judah Frommer: Okay. That's helpful. And then switching to kind of Vistar expectations for the coming year, we did see some chocolate or candy price increases. How does that factor into the expectations for this segment this year?
George Holm: Well, to a degree we like to see a price increase. We tend to make some money when that happens. It also can impact demand for a short period of time at least. But our largest channel is vending and the vending prices it’s a separate SKU in a separate box and those prices have not been increased at least at this point.
Judah Frommer: Okay. That's helpful. Thanks.
Operator: Our next question comes from the line of Jeffrey Bernstein of Barclays.
Jeffrey Bernstein: Great. Thank you very much. Couple of questions. First on the sales topic. I'm just wondering if you can provide some color on maybe the chains versus the independents, maybe health and transfer age. It seems like you commented that the casual dining chains are struggling, I know you mentioned the independents of seeing maybe flat comps.Just wondering if there's any differentiation between them and what keeps your momentum strong or what keeps you believing that you're not going to be impacted by what seems to be a challenge for both the big chains and the independents?
George Holm: Yes. Well, the big chains, we are continuing to see the case. The case counts dropped there, and probably to a great degree not much we can do about that except give them all the support we can give them. And it's not across the board, but it is a struggling category. With the independent, we don't have a high market share. We really don't have a high market share in any market even where we consider ourselves to be very successful.So we feel we can continue to show mid single-digit type growth through new accounts and then just continuing to add line items to existing accounts. And one area that we've done a particularly good job of late and that's our last business continues to decline and that's been a big help for us to offset kind of this lack of what we see as same-store sales growth.And then in the chain world, there are still chains out there that are fast casual, even some smaller QSR ones that are really putting out great growth. So it's not a situation where everybody is flat to down. There are some significant winners today and we are fortunate enough to have some of those accounts.
Jeffrey Bernstein: Understood. And then just in terms of July and August trends, I mean, you seem encouraged with the start to the year. It's interesting to listen to restaurants talk about a slowdown in the past month or so, choppy sales similar to what they saw earlier this year, yet there’s not much explanation for it. So I'm just wondering, one, whether you're seeing something similar and maybe why or why not?
George Holm: Well, we're off to a very strong start, and like I said, it's not even half a quarter. So I hate to get ahead of our SKUs with that. But where we're getting the growth is, it's new customers and it's new items. And I would characterize the market as being a little soft. And I would also say it's continues to be choppy week-to-week. We try not to get too excited when we have a couple really good growth weeks back to back because it tends to get followed by a week that kind of equalizes everything.
Jeffrey Bernstein: Understood. And then just lastly on the commodity front, and I think you mentioned that your basket increased sequentially from 3Q into 4Q. I'm just wondering what your forecasting as a basket inflation on commodity is for fiscal 2020, whether you're anticipating further accelerating inflation, maybe some thoughts on proteins?
George Holm: Yes. We still think that 2% is a fair number and a reasonable number. And I think when you model in a range of anywhere between 1% to 2%, and we see product categories moving in the same direction that they have been this year.
Jeffrey Bernstein: Got it. Thank you very much.
George Holm: Yes. We got to a pretty exhaustive look at inflation. And what we're experiencing today is a greater delta between case growth and dollar sales growth than we have inflation. So our business seems to be moving a little bit more towards higher case cost items and a little bit more center of the plate. So that that's why there's kind of a gap between those numbers for us.
Jeffrey Bernstein: Do you have a similar forecast of inflation for labor? Like you said, COGS 1% to 2%, like how do you think about labor basket relative to COGS?
George Holm: Yes. I wouldn't want to talk about a specific number, but I would tell you that we are continuing to look at labor as a slight headwind. I think that Company's done a great job of managing. And I think Foodservices really stepped up their ability to manage the labor. But labor is still a challenge and I'll leave it at that.
Jeffrey Bernstein: Great. Thank you.
Operator: Our next question comes from the line of Kelly Bania of BMO Capital.
Kelly Bania: Hi, good morning. Thanks for taking my questions. Just as you talked about independence and your ability to drive some new growth there and maybe improved some of the loss business. Can you just maybe talk about what you feel like is differentiating PFG in the industry right now and how you're driving that kind of outperformance?
George Holm: Well, one thing that helps is we have a low share. So I'll put that as a benefit. I just think you need to make the calls and you have to have good product and good service. And we've invested pretty heavily in people and I think that that's paying off for us.I mean, we'd rather have less than 8% growth in expenses, but we try our best to look at that as an investment in people that will get a return on. And so far that that's working out in most markets for us. But I don't know that we're all – our approach is all that different from anyone else.
Kelly Bania: Okay. That's helpful. And you touched a little bit on labor, but maybe just as we think about the fiscal 2020 outlook. Just what's in your plan for freight and fuel and some of those other kind of areas that have been pressures over the last couple of years?
George Holm: Yes. Like those things continue to be pressures. And as a food distribution company that lives in that world. We continue to manage it well. I don't see any dramatic changes and how next-year lines up to this year. And I believe that the guidance we gave is pretty clear and we feel confident about it.
Kelly Bania: Okay. That's helpful. And then maybe just one more on Vistar, that kind of a high single-digit growth again, can you just break that down a little bit for us in terms of same-store sales, new customer wins and then the outlook for that in fiscal 2020?
George Holm: Yes. The bulk of their growth and the big percentage of it is just new customer wins. And we think that will continue to take place in the vending area of micro markets and micro kitchens. We feel it's probably the bulk of the growth. Although, since we're not to the end user, we don't have good insight into that. But just from talking to our customers, I think we find that their Vending business is pretty flat and those other two areas of business, they have really good growth.Theater, that's a big part of our business, but we're pretty much going to put a mirror the industry as far as growth goes what is helping us with theaters as they sort of the wider SKU base that tends to help our sales. But it's really new businesses and expanding within channels where we don't have a great share.And of course, we feel that convenience business is going to be a big one for us. And as we get Retail East built that will help our pick and pack business and give us a little wider geography that we can give next day service to and that will also help our sales.
Operator: Our next question comes from the line of Chris Mandeville of Jefferies.
Christopher Mandeville: Hey, thanks for the follow-ups. George, just in light of Reinhart and given that you guys seem as though you're quite confident in there being little pushed back from the SEC? Can you or Jim just speaking maybe long-term CapEx expectations?
James Hope: Yes. The long-term CapEx expectations for Reinhart as we talked about on the day we made the announcement are reasonable and they have a fair level was maintenance CapEx and I don't believe that I see anything that's out of the ordinary for them in the long-term. We will blend them into our CapEx budget and manage them appropriately.
Christopher Mandeville: Okay. So in totality, maybe something along the lines of 1% of sales is appropriate for the business as a whole being PFG?
James Hope: That's correct.
Christopher Mandeville: Okay. And then if I recall correctly, just on the sales force being a little bit less productive versus PFG team, something like 0.8x. George, given your recent tour of the facilities and what you know of the business. I guess can use remind us, is that a function of them not servicing necessarily enough accounts or are they simply seeing less penetration on a per account basis? And is it more pronounced than any given concept their segment. And then I guess just thinking about whatever might be the issue there, how does one remedy that it, can you just simply alter maybe drop size if that has somewhat of a limiting factor on things? Or is that a matter of altering compensation in some manner?
George Holm: I think the biggest key is going to be increasing the SKU base, the items that are available for them to sell. Not unlike us, they have some sub-scale facilities that don't really have the SKU base that they need to put out the growth that they should have. The biggest advantage we'll get is just focus or just be very, very focused on that segment. It's important to us and that - I think that's probably the biggest thing that that will benefit from is just having that high level of focus.
Christopher Mandeville: Okay. Thanks guys.
Operator: And Ladies and gentlemen, we have time for one more question. Our final question will come from the line of Bob Summers of Buckingham.
Robert Summers: Great. Good morning, guys. Just can you give us an update on freight cost? I think that last quarter you were starting to get some relief on the inbound side. I'm wondering if that continued in, what the expectation is over the next couple of quarters. And then on inflation, curious dig a little deeper in terms of center of the plate thoughts, particularly as it relates to the knock on effects from African swine fever. And maybe remind us at what level of inflation do we start to see demand destruction?
James Hope: Yes. Look on inflation nothing exciting there. I feel pretty good about it. On the protein area is absent of an event like you're describing they're coming in and putting a lot of pressure. I don't see any big change. On freight what look we're still doing as well managing inbound freight as we have in the past two years. I feel confident in our ability to continue the momentum we have there. I'm not seeing anything overly concerning from a freight cost standpoint. And you're right, we saw a little bit of relief, but I think that freight costs ebbs and flows based on different cycles and we're positioned to handle both part of a cycle well.
Robert Summers: Okay. And then I think this might've been touched on a little earlier, but regarding Eby, what are the more compelling thoughts behind the acquisition was the opportunity set or the capabilities that it provided you? And I'm kind of curious as to, how some incremental contract discussions have gone. Is there any update that you can provide there?
George Holm: It's been helpful, at this point with one account, but I think we're real early in this and I think that we just need to know more about that tobacco part of the business. But it has helped us in one instance and one instance only at this point.
Robert Summers: Okay. Thank you.
George Holm: Thanks.
Operator: And that was our final question. I'd like to turn the floor back over to Michael Neese for any additional or closing remarks.
Michael Neese: Thank you, Maria, and have a great day.
Operator: Thank you, ladies and gentlemen, this does conclude today's conference call. You may now disconnect.